Operator: Good morning. My name is Michelle, and Iâll be your conference operator today. At this time, I would like to welcome everyone to the EyePoint Pharmaceuticals Second Quarter 2022 Financial Results and Recent Corporate Developments Conference Call. Thereâll be a question-and-answer session to follow at the completion of the prepared remarks. Please be advised that this call is being recorded at the companyâs request. I would now like to turn the call over to George Elston, Chief Financial Officer of EyePoint Pharmaceuticals.
George Elston: Thank you, and thank you all for joining us on todayâs conference call to discuss EyePoint Pharmaceuticals second quarter 2022 financial results and recent corporate developments. With me today are; Nancy Lurker, President and Chief Executive Officer; Dr. Jay Duker, Chief Operating Officer; and Scott Jones, Chief Commercial Officer. Nancy will begin with a review of recent corporate updates. Dr. Duker will then discuss clinical plans for EYP-1901, and Scott will comment on our 20 â 2Q 2022 commercial performance. I will close with commentary on the second quarter 2022 financial results. We will then open up the call for your questions. Earlier this morning, we issued a press release detailing our financial results as well as commercial and operational developments. A copy of the release can be found on the Investor Relations tab on the company website, www.eyepointpharma.com. Before we begin our formal comments, Iâll remind you that various remarks we will make today constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These include statements about our future expectations, clinical developments, and regulatory matters and timelines, the potential success of our products and product candidates, financial projections, and our plans and prospects. Actual results may differ materially from those indicated by these forward-looking statements. As a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC, and in other filings we may make with the SEC in the future. Any forward-looking statements represent our views as of today only. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. Iâll now turn the call over to Nancy Lurker, President and Chief Executive Officer of EyePoint Pharmaceuticals.
Nancy Lurker: Thank you, George. Good morning, everyone and thank you for joining us. Itâs been an exciting quarter for EyePoint Pharmaceuticals. And we are very proud of the work weâve done to bring ocular therapies to patients with serious eye disorders, and at the same time, create long-term value for our shareholders. Itâs been a busy quarter, and Iâll now review our recent accomplishments. We continue to execute our pipeline with the first patient dosed and weâre very excited about this. Last week, in our Phase 2 DAVIO 2 clinical trial, evaluate an EYP-1901 for wet age-related macular degeneration or wet AMD. As a reminder, EYP-1901 is a combination of the small molecule tyrosine kinase inhibitor, Vorolanib, and a Bioerodible formulation of our proprietary Durasert technology. We look forward to providing an update on our Phase 2   trial for EYP-1901 in a second indication, non-proliferative diabetic retinopathy, also known as NPDR later this quarter. In July, we presented positive 12-month safety and efficacy data from the Phase 1 DAVIO clinical trial at the American Society of Retina Specialists Annual Meeting. Wet AMD is a serious and potentially devastating eye disorder, accounting for approximately 90% of all AMD-related blindness. Although there are safe and effective FDA approved medications on the market, the treatment paradigm remains a challenging one for patients and physicians. As most patients with wet AMD are treated every month or every other month â requiring frequent trips to the doctorâs office and countless injections over their lifetime. EYP-1901 has a potential to provide the substantial benefit of allowing patients a longer duration between doctorâs offices and visits of up to six months, while maintaining stable visual acuity and macular anatomy. Itâs important to highlight that we view EYP-1901 not as a replacement therapy, for existing large molecule anti-VEGF therapy such as Eylea, aflibercept or Lucentis, ranibizumab. But as a treat-to-maintain therapy with a different mechanism of action, a receptor versus ligand binding, that can potentially act as maintenance therapy and use current treatments as supplemental support as needed. Dr. Jay Duker will review in more detail the results of our 12-month DAVIO 2 data later in the call. As Iâve mentioned in quarters past, Iâm very proud of our teamâs execution of our Phase 1 DAVIO clinical trial. Just 18 months after we began our trial, we have disclosed positive 12-month data have aligned with the â FDA for our Phase 2 trial and now dosed the first patient in our Phase 2 DAVIO 2 clinical trial for wet AMD. Additionally, we were pleased to have hosted our first Investor Day event, where we featured commentary from my EyePointâs management team, as well as guest speakers, Dr. Carl Regillo, Professor of Ophthalmology, Thomas Jefferson University; and Dr. Charlie Wykoff, Director of Research, Retina Consultants of Texas. We discussed the incredible science behind EyePointâs Durasert drug delivery platform, clinical results, and Phase 2 plans for EYP-1901 and gave a commercial update on YUTIQ, fluocinolone acetonide intravitreal implant, for the treatment of chronic non-infectious uveitis affecting the posterior segment of the eye. Turning to our commercial products, we announced the approval of YUTIQ in China with OcuMension Therapeutics. YUTIQ is the first drug for commercial use in occupant â in OcuMensionâs innovative pipeline. Weâre very pleased to partner with OcuMension to expand YUTIQâs global reach in the emerging Chinese market. And there weâll now be marking an important milestone and furthering our mission of improving the lives of patients with serious eye disorders around the world. Finally, we saw record net product revenues in Q2 2022, primarily driven by strong second quarter for YUTIQ, which youâll hear more about from Scott and George later on. On the corporate front, we announced two new Board appointments in June and July, and we continue to strategically build out our Board and Leadership Team as our company grows and evolves. First, in June, we elected Dr. Tony Adamis to the Board of Directors, who is a pioneer in the discovery and early development of anti-VEGF drugs for the treatment of ophthalmic diseases. Tony is best known for his co-discovery of the role of vascular endothelial growth factor, VEGF in ocular disease, including wet AMD and diabetic retinopathy. Second, in July, we welcomed Karen Zaderej, who currently serves as AxoGenâs President and CEO, to our Board of Directors. Karen is a pharmaceutical industry veteran who brings more than 35 years of biopharmaceutical and medical device leadership and commercial experience to the role. We also think the contribution that Ron Eastman, EW Healthcare Partners made to the Board during his four-year tenure. I am indebted to and grateful for the talented EyePoint team, which continues to execute quarter-over-quarter on all clinical, operational and financial aspects of our business. We are steadfast in our mission to become the leader in sustained ocular delivery, in order to deliver improved retinal treatment, and bring much needed therapies to patients around the world. Iâll now turn the call over to Dr. Jay Duker, our Chief â Operating Officer to provide an update on our lead program, EYP-1901 as well as other initiatives. Jay?
Jay Duker: Thank you, Nancy and good morning, everyone. Before I begin, I want to reiterate what an incredible quarter this has been for the EyePoint clinical team, as we executed on multiple milestones and we expect to continue to do so as we advance our pipeline. To provide a brief overview of our product candidates and pipeline, as we discussed at our recent Investor Day, EYP-1901 is an investigational sustained release anti-VEGF treatment. We deliver vorolanib, a small molecule tyrosine kinase inhibitor, which is the active ingredient in EYP-1901, using EyePointâs â proprietary drug delivery technology, Durasert. Durasert differentiates EYP-1901 from other currently approved anti-VEGF drugs, as this bioerodible insert allows for true sustained-release of the drug with zero-order kinetics, after initial beneficial burst in medication. Vorolanib binds to all VEGF receptors, utilizing a differentiated mechanism of action. Compared to other TKIs, vorolanib features reduced off-target binding, leading to potentially improve safety profile with so far no reported ocular toxicity. In our first indication, wet AMD, EYP-1901 is being studied as a maintenance therapy, following induction therapy with an anti-VEGF therapeutic approach, which we refer to as treat-to-maintain. With regards to wet AMD, our goal is to sustain a majority of wet AMD patientsâ treatment interval up to six months or longer after a single injection of EYP-1901, as the largest unmet need in wet AMD landscape is the longevity of anti-VEGF therapy. By providing this sustained delivery treatment, patients and practitioners could potentially have the flexibility to safely reduce the number of visits to their retina specialists through controlled and sustained intravitreal delivery of an anti-VEGF drug. Turning to our most recent data update. We reported positive 12-month results of the EYP-1901 DAVIO Phase 1 clinical trial for the treatment of wet MD at the American Society of Retina Specialists in mid July. The DAVIO trial enrolled 17 patients, and each received the single intravitreal injection of EYP-1901 at one of four different dose levels. All enrolled patients were previously treated with standard-of-care anti-VEGF therapy. No reinjection with the study drug was performed during the trial and typical criteria for supplementation with a standard-of-care anti VEGF was employed. We are pleased that the 12-month data demonstrated no reports of ocular SAEs or drug-related systemic SAEs. No reported events of vitreous floaters, endophthalmitis, retinal detachment, insert migration into the anterior chamber, retinal vasculitis, posterior segment inflammation or retinal vascular occlusive events. Further, the 12-month follow-up confirmed stable best corrected visual acuity of minus 4.12 ETDRS letters and stable central subfield thickness on optical coherence tomography, a minus 2.76 microns. As expected, there was an observed increase in supplemental anti-VEGF therapy after nine months, given the inserts expected drug depletion. However, 35% of eyes were supplemental anti-VEGF free up to 12 months after injection with EYP-1901. Up to six months, 53% of eyes were supplement free. Additionally, there continued to be a positive treatment burden reduction of 74% at 12 months versus 79% at six months. We are very pleased with our DAVIO Phase 1 results which demonstrate that EYP-1901 has the potential to maintain a majority of patients for up to six months, with no supplemental anti-VEGF therapy. On the heels of this positive data, we have enrolled our first patient in the Phase 2 clinical trial of EYP-1901 for wet age-related macular degeneration, called DAVIO 2. The trial is expected to enroll approximately 150 wet AMD patients, previously treated with standard-of-care anti-VEGF therapy and randomly assigned to one of two doses of EYP-1901, approximately 2 milligrams or approximately 3 milligrams. This is versus an on-label aflibercept control. EYP-1901 is delivered with a single intravitreal injection in the physicianâs office. Similar to current FDA approved anti-VEGF treatments. The primary efficacy endpoint of the DAVIO 2 trial is non-inferiority to the aflibercept control, as measured by change in best corrected visual acuity six months after the EYP-1901 injection. Secondary efficacy endpoints include change in CST as measured by OCT, time to first supplemental anti-VEGF and safety. We look forward to progressing our Phase 2 trial and anticipate top line results in the second half of 2023. We are also looking forward to our potentially paradigm-changing exploration of EYP-1901 in other severe eye disorders, including our Phase 2 PAVIO trial of EYP-1901 in non-proliferative diabetic retinopathy, also known as NPDR. NPDR affects almost one-third of adults over the age of 40 with diabetes, and is projected to impact over 14 million Americans by 2050. In NPDR, blood vessels are weakened, and they leak fluid into the retina causing swelling of the macular and lead to vision changes. If left uncontrolled, it can lead to severe visual loss and other ocular complications. The current standard-of-care includes intravitreal injections or laser photocoagulation, which can be burdensome for patients. The PAVIO trial is a 12-month randomized, controlled Phase 2 trial of EYP-1901 for NPDR, which is expected to enroll approximately 105 patients, randomly assigned to one of two doses of EYP-1901. Approximately 2 milligrams or approximately 3 milligrams, or to the control group receiving a sham injection. EYP-1901 is delivered with a single intravitreal injection in the physicianâs office. The primary efficacy endpoint of the trial is improvement of at least two DRSS or diabetic retinopathy severity score, severity levels as of week 36 after the EYP-1901 injection. Secondary endpoints include vision-threatening complications, occurrence of diabetic macular edema and/or proliferative disease, retinal ischemia, non-perfusion and safety. We look forward to providing updates on the clinical trial in subsequent quarters. In conclusion, we are very proud of the clinically validating results weâve seen from the Phase 1 trial of EYP-1901. And we are excited to have initiated DAVIO 2 for EYP-1901 last week with the Phase 2 PAVIO trial planned for NPDR later this quarter. We will continue working to provide potentially life-altering therapies to patients who have serious eye disorders, as we further explore the potential of EYP-1901. I will now turn the call over to Scott Jones, Chief Commercial Officer for the commercial update. Scott?
Scott Jones: Thank you, Jay. Weâre excited to report a strong quarter for our commercial business with $11.3 million of net product revenue, an increase of 30% from the second quarter of last year. Our Q2 net product revenue for YUTIQ and DEXYCU was $7.4 million and $3.9 million, respectively. Customer demand was approximately 900 units for YUTIQ and approximately 40% increase from Q1 of 2022 and 14,700 units of DEXYCU consistent with the first quarter. Customer demand for YUTIQ continues to grow as we see positive traction from our focus on retina specialists for posterior segment, inflammation and continued use by uveitis specialists. We hope to see increased demand continue in the quarters to come with further support from our ongoing Phase 4 studies that are underway. Customer demand for DEXYCU was strong and consistent with Q1 of 2022. As our commercial alliance partner, ImprimisRx continues to drive strong demand. In July of 2022, EyePoint announced that the CMS Draft Hospital Outpatient Prospective Payment Rule did not extend pass-through status for expiring drugs, thus impacting DEXYCU. If the draft rule is finalized, DEXYCUâs pass-through status will expire on December 31st of 2022. CMS did clarify that they intend to offer ongoing pass-through to non-opioid pain alternatives, and that they will require a pain indication in order for a product to be eligible for continued reimbursement. In light of this recent news, weâre evaluating next steps for potential DEXYCU pain indication. Weâre very pleased by the progress weâve made with our commercial businesses and remain on track for breakeven for the franchise in 2022. Iâd like to thank our commercial teams for their dedication to bring our ophthalmic therapies to physicians and patients in need. We look forward to updating you on revenues and demand in the quarters to come. I would now like to turn the call over to George to review the financials. George?
George Elston: Thank you, Scott. As the financial results for the three months ended June 30th, 2022, were included in the press release issued this morning. My comments today will be focused on a high level review for the quarter. For the second quarter ended June 30th, 2022, total net revenue was $11.6 million compared to $9 million for the quarter ended June 30th, 2021. This includes net product revenue for the second quarter of $11.3 million compared to net product revenue of $8.7 million for the prior year period, an increase of 30%. Net revenue from royalties and collaborations for the second quarter ended June 30th, 2022, totaled $0.3 million consistent with the corresponding period in 2021. Operating expenses for the second quarter ended June 30th, 2022, totaled $30.8 million versus $20 million in the prior year period, primarily driven by an increase in R&D spending, including clinical trial costs for EYP-1901 and investment in personnel across the organization and non-cash stock-based compensation. Non-operating expense net totaled $0.2 million and net loss was $19.4 million or $0.52 per share compared to a net loss of $10 million or $0.35 per share for the prior year period. Cash and investments at June 30th, 2022, totaled $171.2 million compared to $211.6 million at December 31st, 2021. We expect the cash, cash equivalents and investments on hand at June 30th, 2022, and expected net cash inflows from our product sales will enable us to fund our current and planned operations into the second half of 2024. In conclusion, we are pleased with EyePointâs progress in the second quarter of 2022 and are well capitalized to advance our pipeline to key value inflection point. Thank you all very much for listening this morning. And I now turn the call over to the operator for questions.
Operator:  Our first question comes from Stacy Ku with Cowen. Your line is open.
Stacy Ku: Thanks so much for taking our questions and congratulations on the progress. The â the first question is do you plan â plan to provide quarterly enrollment updates for your Phase 2 DAVIO 2 trial? So I believe youâve got it to six months. So, just some color around kind of the gating of enrollment, and maybe you could speak to the level of physician awareness and engagement so far as you â as you initiate the sites. Thanks.
Nancy Lurker: Yeah. The â hi, thank you for that, Stacy. No, we have not ever done that for DAVIO 1, we donât plan to for DAVIO 2. As you know, these clinical trial enrollments can be like sine waves and so you can get you know a big bolus come in, and then a valley and it â it just doesnât give much insights, I think to investors. So we obviously will issue a press release when we have complete enrollment. But thatâs always been our target. And Iâm going to actually have Dr. Jay Duker comment on just sort of how the trials going so far.
Jay Duker: Yeah. So the physician engagement is very high. We had well over 100 sites interested in being participating in the study. I think at this point, the â the TKI in the delivery system that we feature is resonating with physicians. And I think our Phase 1 clinical trial data has been very well received. So I think thereâs a lot of excitement out there in the retina community about the potential for EYP-1901.
Stacy Ku: Okay, perfect. And so two more questions on â on the DAVIO 2. First, what are the powering assumptions versus Eylea arm? So 1901 versus Eylea to achieve non-inferiority? And the second question on DAVIO 2. How close do you expect the design will be with pivotal trials? I know, at the Investor Day, we talked about the potential six months retreatment for Phase 3, so any additional details would be appreciated. Thank you so much.
Jay Duker: So we havenât publicly announced this statistics around DAVIO 2. At this point, theyâre descriptive only, given the end of the study, the study you know is not necessarily powered to a high enough level to be confident to that 95% level. You know, the â the results of the statistics, again, are descriptive. The reinjection issue, again, at this point, there is no point injection to the DAVIO 2 trial, we do look to study that in patients prior to the pivotal trial. And we still anticipate that in our wet AMD pivotal trials, the pace of reinjection will be every six months, thatâs the anticipated testing. We had a very productive Type C meeting with the FDA several months ago. And, at that meeting, we asked some very specific questions around the structure of the pivotal trials. So we have a pretty good idea of what the pivotal trials might look like. But in saying that, one of the physicians who do a Phase 2 trial is to inform your pivotals around dosing and other things. And so, we do expect to learn things from DAVIO 2 that certainly may alter the structure of the pivotal trials  now. But I think theyâre comfortable and the FDA is comfortable with the outline of what the pivotal trials might look like.
Nancy Lurker: Yeah, let me just add to that. I want to make sure that weâre very clear on this. We have not designed this to be a pivotal trial, nor even have the chance of hitting a statistical to get endpoint. Our goal is to understand that of the dosing, what dose we take in a Phase 3, as well as entry criteria, et cetera, and what types of patients perform best. Our goal is to make sure that we get this study done ASAP, and not have a large number of patients so that we can potentially hit pivotal. We really do need to learn just a few things to make sure we have optimal success in Phase 3. So we have no intentions of releasing statistics around this, because it would be meaningless.
Stacy Ku: Okay, thatâs super helpful. Thank you so much.
Operator: The next question comes from Eddie Hickman with Guggenheim Partners. Your line is open.
Eddie Hickman: Good morning, and thanks for taking the question. This is Eddie on for Yatin this morning. A question on 1901. For the â the diabetic retinopathy study, what   have you done to make you choose those 2 and 3 milligram doses for the study? And then for that study, since the endpoints are a bit different, how are you going to handle the rescue criteria as compared to the DAVIO study? And then just quickly on DEX, when will you know about that CMS pass-through decision and how long would that extension be if it does get approved? Thanks.
Jay Duker: Hi, this is Jay. Let me start with the â the first two questions and thank you very much for â for discussing the PAVIO trial. First of all, we havenât found the maximally tolerated dose for EYP-1901 and either any animal studies or humans. And â and since we donât know what doses will be effective, we elected to go with the two highest doses that we used in DAVIO for the NPDR trial. So itâs certainly possible that a lower dose will be just as effective. But we do hope to learn something about dosing from the PAVIO trial. There is no rescue criteria in a diabetic retinopathy study, the control group is observation. In the real world, although there are labels for two anti-VEGFs for treatment of moderate-to-severe NPDR. We believe that only 2% to 3% of patients in the real world that are actually getting treated with anti-VEGFs and therefore, using inactive control of sham injection, we believe is appropriate for this indication. And therefore, rescue criteria would only really be applied to any patient who progress to center-involving macular edema, non-proliferative diabetic retinopathy.
Nancy Lurker: Yeah, Iâll make one comment and then Iâll have Scott on the pass-through with DEXYCU. But remember, the final rules come out in November. So thatâs when we would expect to know. But Scott, you want to add anything further on, some color around?
Scott Jones: Sure. So when we talked about pass-through, weâre actually talking about two separate opportunities for pass-through extension, one is related to extending the public health emergency, which as we saw in 2022, allow for extension to our tolling period, which is the period which data is collected on the utilization of like outside of the bundle. So that would be potentially in the final rule, which would be in November. The second part of the pass-through related to the non-opioid pain indication or pain-sparing products, excuse me â non-opioid-sparing products related to pain. And that â thereâs certainly that we saw draft rules in the â22 rule and in the â23 proposed rule. We do believe there will be a finalization of those rules in the final rule, which comes out again in early November.
Eddie Hickman: Thank you.
Operator: Our next question comes from Jennifer Kim with Cantor. Your line is open.
Jennifer Kim: Hey, good morning. Thanks for taking my question. I have two here. The first is just a clarification on how we should think about reinjection data in the pivotal for wet AMD? I think at the Investor Day you said, you would expect a readout nine months after the last injection, and then you anticipate reinjection would â would happen at six months. So does that mean data on the reinjected dose would only go out to three months? And then my second question is just on the pain indication of DEXYCU. If you go forward with exploring that, what would the anticipated cost and I guess, timing around that be? Thanks.
Jay Duker: Hey, Jennifer, itâs Jay again, thanks for the questions. And Iâll take the first part. Yeah your summary of the pivotal structure is correct, the initial efficacy readout would be approximately nine months after the initial dose of EYP-1901. At about six months after that initial , we would anticipate giving a second dose, that works. Most wet AMD studies at this point are approximately one year efficacy trial and two years safety trial. And  we do anticipate taking the pivotal  for a  just for safety, that which also means that we would plan on reinjecting a total  of times within that study.
Nancy Lurker: But the readout would be before two years.
Jay Duker: Yes. The efficacy readout would be at approximately one year after the initiation of the study as is currently structured or planned.
Nancy Lurker: Jennifer, on DEXYCU. So, number one, weâve not made any decision, I want to be clear on that. Number two, the cost of the studies would be in the mid-teens. But there are various options if we decide to go forward with it. That we would look at for some potential non-dilutive ways to access that capital. We want to be careful that we â we do not expect in any way that if we go forward we would impact our cash runway. And then finally, obviously, you can imagine  has been very clear that they want to make sure that they have non-opioid pain products available. And  they gave extended, if you want to call it almost permanent pass-through for some of these drugs that have a pain indication. So theyâve been very  you get a pain indication, youâre going to get extended pass-through for â permanently through. So the IRR, as you can imagine, is quite robust. And the risk of doing a pain indication for dexamethasone is relatively low, because dexamethasone is a known pain reliever. So we feel confident that if we decide to go forward, our odds of achieving a successful outcome are quite high. Nevertheless, no decisions have been made, weâre going to be very thoughtful about how we approach this. This is not our core asset and we recognize that and our goal is to make sure that we have the capital and the runway to execute on our EYP-1901 program.
Jennifer Kim: Okay, great. Thanks. Actually, if I could sneak one more question. Youâve also talked about exploring other molecules which are sort of like complement inhibitors. Are there other molecules that youâre also exploring? And also, what are you looking for in the â in a partner to take this forward? Thanks.
Nancy Lurker: So, yes, there are other molecules that we are looking at. And the beauty about Durasert is, is that you can, as weâve said before, put many small molecules in and possibly up to some small peptides. So thereâs a number of opportunities weâd like to go after assets that have proof-of-concept. Because remember, weâre not a research-driven company. We are a drug delivery and development stage company, we donât really want to take brand new mechanism of action risk on APIs. Iâm going to actually have Jay comment further on. Any other specifics that we find interesting, please note as well, we have in licensed in the Tie2 activators. And we have both â we have two molecules associated with that a small molecule and a bispecific. So clearly, that is one pathway that we are potentially exploring.
Jay Duker: Just to add a little more color. We have a very active VD outreach right now. And we are looking to partner with companies who have the release problem, letâs call it, that they have a molecule that has a differentiated or proven MoA, but they have a short life in the eye or they are giving it systemically and have systemic side effects. Thatâs kind of the perfect partner for us in Durasert. There are certain areas of unmet need that weâre really interested in, you mentioned complement, and I would just even extend that to drive macular degeneration in general. Neuroprotection is another area that weâre actively interested in. And there were several other smaller niche areas of the posterior segment of the eye diseases that weâre ongoing â have ongoing talks with other potential partners to develop other molecules that have been derisked through other programs.
Jennifer Kim: All right, great. Thanks so much, guys.
Operator: Our next question comes from Yale Jen with Laidlaw. Your line is open.
Yale Jen: Good morning, and thanks for taking the questions. My first question is about the DAVIO 2 study that I remember you guys talking about earlier that you might enrich some patients that could have been better managed by the current VEGF therapies. Any other color you can share on this radar?
Jay Duker: Sure, thatâs an excellent question. And I â I think perhaps Iâm not sure, enriching is quite the right word. We looked very carefully at the patients who enrolled in the Phase 1 DAVIO trial, who did well with EYP-1901 versus those in whom the benefit of EYP-1901 was not as apparent. And, what was clear from that evaluation is that, patients who were failing standard-of-care, in other words, were getting an Eylea or Lucentis injection every four or five or six weeks, but still had a lot of fluid or increasing fluid or decreasing vision despite that frequency of standard-of-care injections, it didnât appear that EYP-1901 offered a lot of benefit to those patients. And therefore, the inclusion-exclusion criteria for DAVIO 2 try to eliminate the best we could, the patients were not doing well on standard-of-care. So, by doing that, we hope that the benefit of EYP-1901 is more apparent in DAVIO 2 than it was in DAVIO 1.
Yale Jen: Okay, great. Thatâs very helpful. And in terms of DAVIO 2 and PAVIO, are there many clinical sites that you anticipate to be overlapping? Or there will be a â or thatâs not the case?
Jay Duker: You know thatâs a really good question. And â and off the top of my head, I donât know the answer. I mean, Iâve seen both lists. And so, you think I could probably put that together. But â but suffice it to say, that they are different diseases all treated by retinal specialists. But thereâs a geographic diversity, I would say, with respect to these diseases. There are certain patient populations in areas of the country where macular degeneration is more common, in other areas where the population isnât as elderly and may have more incidence of diabetes. So I fully expect that thereâs going to be some overlap, but not necessarily a 100%.
Yale Jen: Okay, great. Thatâs helpful. And maybe the last question here is that, given the YUTIQ sales and the usage seems â appears to be pretty good this quarter. What types of outlook you guys may anticipate or, for â just for the remaining of the year? And thanks.
George Elston: Yeah. Thanks for the question and thanks for your comments relative to YUTIQ. Obviously weâre not providing any additional guidance towards the sales for the remainder of the year. We are happy that the customer demand remained strong. We continue to have really good outlook from the customers and really good feedback. So you know, we â we are happy with the performance of the product and with the Salesforce.
Yale Jen: Okay, great. Thatâs very helpful. And again, thanks a lot.
George Elston: Thank you, Yale.
Operator: Our next question comes from Yi Chen with H.C. Wainwright. Your line is open.
Yi Chen: Hi, thank you for taking my question. So in the DAVIO trial, within those 53% of eyes that do not require the supplemental anti-VEGF up to six months and 35% up to 12 years, do they share any similar characteristics within those patients that could help you grow â better and grow the patients for DAVIO 2 trial?
Jay Duker: So I would say there was some disparity in the patientâs length of time that they had disease and their OCT appearance at enrollment. But one of the characteristics that they all had was a positive response to standard-of-care anti-VEGF. And by positive, I donât â I donât mean just a little reduction in fluid, that these people were generally under good control with the standard-of-care anti-VEGF. Now, retina specialists have a hard time defining good control. Some of us would say those that getting monthly injections and are completely dry with good vision or under good control despite the frequency of injection. And so I would include patients in that category. Patients who did not have a lot of fluid, it had good vision, but require frequent injections. And I think that thatâs a â a niche that we really hope EYP-1901 will fill patients that are well treated, but require frequent injections.
Yi Chen: And what would be the minimum of prior injections or minimum length of treatments before getting enrolled into the DAVIO trial â DAVIO 2 trial?
Jay Duker: So the â one of the inclusion criteria is the diagnosis of wet AMD has been made less than nine months prior to screening. And the patients have had to have a minimum of two standard-of-care anti-VEGFs. And according to the enrolling investigator, theyâve had to show the positive response to those injections.
Yi Chen: Got it. Thank you.
Operator: Our next question comes from  with Chardan. Your line is open.
Unidentified Participant: Hi, good morning. Thank you for taking the question. One on the injection device. I believe at the Analyst Day you mentioned that you were fine-tuning or finalizing the specs for the injection device so that it can reliably deliver the â the implant. Just wanted to ask what the status of that is, and what are the remaining regulatory requirements are?
Jay Duker: So the status is the project is moving along very nicely. We believe weâve developed a state-of-the-art injection system that will have the inserts preloaded with the device is designed to handle both YUTIQ and EYP-1901. And weâre on track to have that. We hope tested in humans in the very near future. The regulatory part is, as you may know, the FDA has â has made things a little more complicated, and that, weâre now considered a drug device combination. However, with respect to EYP-1901, we anticipated that to be the case from the start. And there â therefore, we have developed from the initial start of EYP-1901 as a drug device combination along with the new injector, weâre doing all the regulatory things that will need to get done to make sure that thatâs met. I believe that â that regulatory issues also exist within the EMA. And therefore, we are you know attuned to making sure that this â these regulatory requirements are met. With respect to YUTIQ, because YUTIQ is a prior approved product. When we do change the injection system, we will have to supply the FDA with background in that, including you know details around what the injection system development program consists of. Once again, I think weâre â as a company, weâre right on that and we donât anticipate that that aspect will slow down the program at all.
Nancy Lurker: To add, we are â are filing robust patents around this device, it will be proprietary.
Unidentified Participant: Got it, thank you. Very helpful. And I have one big picture question to â for â to Jay. In terms of your confidence for EYP-1901 in DME and how does the confidence from the mechanistic standpoint compared â compares and contrasts with NPDR?
Jay Duker: So, every other product thatâs an anti-VEGF thatâs worked in one indication has worked in all indications. I think that that you know, suggests that for vorolanib as itâs released Durasert should be the same. We think that the real advantages in a disease like NPDR, in which clearly anti-VEGFs have a positive role in the disease course, but really not getting them because of the frequency of injection. And Iâd expand that the DME, while there is certainly evidence that VEGF is not the only mediator in diabetic macular edema. Early on in the disease, itâs primarily felt to be a VEGF-mediated disease. We also think that itâs possible that vorolanib may have some alternative benefits to patients, other than just with anti-VEGF benefits. Because it blocks VEGF receptor 1, thereâs probably some type of inflammatory benefits. And as we disclosed that in Investor Day, we just recently, some pretty strong preclinical evidence in a retinal detachment model that vorolanib actually has neuroprotection receptors. So those other potential measures of action may also be beneficial in diabetes, both diabetic macular edema and diabetic retinopathy. And again, the zero-order kinetics release combined with the ability to lengthen the cycle of injection should have a benefit to .
Unidentified Participant: Yeah, all right. Thank you very much.
Operator: Our next question comes from  with B. Riley. Your line is open.
Unidentified Participant: Thank you for taking our question. Just one question from us. Can you clarify for DAVIO 2 12-month trial? Is there a follow-up period beyond the 12-month to look into safety and overall function? Thank you.
Jay Duker: Excellent question, thanks for bringing that up. At present, thereâs not a plan to extend the study beyond 12 months. I think potentially thatâs something we may consider. But, again, we donât plan on doing anything thatâs going to negatively impact the start of the pivotal trial .
Unidentified Participant: Yeah, got it. Thank you.
Operator: And Iâm showing no further questions in the queue at this time. Ladies and gentlemen, thank you for participating in todayâs conference. This does conclude your program and you may now disconnect. Everyone have a great day.